Operator: Greetings, and welcome to the Brooks Automation Q3 2021 Financial Results. During the presentation, all participants will be in a listen-only mode. Afterwards, we will conduct a question-and-answer session.  As a reminder, this conference is being recorded, Thursday, August 5, 2021. I will now turn the conference over to Sara Silverman, Director of Investor Relations.
Sara Silverman: Thank you, operator, and good afternoon to everyone on the line today. We would like to welcome you to our earnings conference call for the third quarter of fiscal year 2021. Our third quarter earnings release were issued after the close of the market today and are available on our Investor Relations website located at brooks.investorroom.com, in addition to the supplementary PowerPoint slides that will be used during the prepared remarks today. I would like to remind everyone that during the course of the call, we will be making a number of forward-looking statements within the meaning of the Private Litigation Securities Act of 1995. There are many factors that may cause actual financial results or other events to differ from those identified in such forward-looking statements. I would refer you to the section of our earnings release titled Safe Harbor Statement, the Safe Harbor slide on the aforementioned PowerPoint presentation on our website, and our various filings with the SEC, including our annual reports on Form 10-K and our quarterly reports on Form 10-Q. We make no obligation to update these statements, should future financial data or events occur that differ from the forward-looking statements presented today. We may refer to a number of non-GAAP financial measures, which are used in addition to and in conjunction with, results presented in accordance with GAAP. We believe the non-GAAP measures provide an additional way of viewing aspects of our operations and performance. But when considered with the GAAP financial results and the reconciliation of GAAP measures, they provide an even more complete understanding of the Brooks' business. Non-GAAP measures should not be relied upon to the exclusion of the GAAP measures themselves. On the call with me today is our President and Chief Executive Officer, Steve Schwartz; and our Executive Vice President and Chief Financial Officer, Lindon Robertson. We will open the call with remarks from Steve and highlights of the third quarter. Then, Lindon will provide a more detailed look into our financial results and our outlook for the fourth fiscal quarter of 2021. We will then take your questions at the end of the prepared remarks. With that, I would like to turn our call over to our CEO, Steve Schwartz.
Stephen Schwartz: Thank you, Sara, and good afternoon, everyone, and thank you for joining us today as we report on the results of another strong quarter from both Life Sciences and Semiconductor automation businesses. Revenue was $315 million, up 10% sequentially and 43% year-over-year with almost identical organic growth rates from each of the businesses and consistent with the rapid growth trajectory that we've been on for some time. This persistent trend of revenue and profitability expansion is the direct result of our targeted investments in the science and technology to satisfy the needs of our customers, especially in what's a robust demand environment for life sciences and semiconductor and as we approach the separation of the businesses, we continue to invest to position ourselves in front of customer needs and market opportunity. We believe that both life sciences and semiconductor automation markets will continue to expand and evolve for years to come, and we intend to lead with our solutions that require sustained investments in new product and new technology development, as well as acquisitions, investments that we are making and for which we're being rewarded by our customers, who are not only adopting our solutions, but also who are guiding our next development initiatives. Although there's a lot to be enthusiastic about, I'll just touch on some highlights from the quarter, starting with Life Sciences. Overall, Life Sciences revenue was up 42% organically year-over-year, and we added more than 300 customers, a reinforcement that not only are our offerings attractive but also paving the foundation for more future growth as our business increases at these new accounts. In Life Science Services, revenue was $80 million, up 28% year-over-year with growth delivered from each of the sub-segments. We once again delivered record revenue quarters in each of our three major sub-segments of genomic services, NGS, synthesis and Sanger Sequencing. Next-generation sequencing was up nearly 60% year-over-year. This service offering continues to grow as a result of our highly skilled NGS case teams, which engage customers early in the experimental design and follow through from there to data. In the quarter, we launched the full complement of capabilities of NGS solutions for gene therapy applications, and this capability has already attracted 20 biopharma and biotech customers in the U.S. alone. The Synthesis business delivered another solid growth quarter, up 33% from Q3 last year. This steady and significant growth comes from pharma and biotech customers. We continue to build out capacity to stay in front of what we see as a sustained healthy demand environment. The Sanger business came in at $15 million, up 72% against a weak Q3 2020, but it was another all-time record and quite meaningfully up 10% sequentially, which is a particularly strong sequential growth indicator compared to what was also a record prior quarter. In the sample and repository solutions portion of our services business, we maintained our growth momentum, and we're particularly pleased with the number of commercial wins that landed late in the quarter, each of which will contribute meaningfully to more growth in the second half of the calendar year. We were granted the certificate of occupancy for our Cleveland Clinic bio-repository and our sample management contract initiated last month. All of us are delighted to have this up and running, and the benefits to us and the Cleveland Clinic have already begun. We were awarded a contract for the management of vaccines as part of a federal government program that will run for many years. This is not a COVID-19 project but rather one that takes advantage of our ability to manage vaccines and manufactured product, something that we've proven over the past year to be a strong capability. In addition, we won another sample management contract to manage millions of samples for another large global pharmaceutical company. Our personnel are already on site, beginning the curation of samples for the customer. This activity will be in full swing by the end of the current quarter, and sample relocation from the customer sites to our bio-repositories should commence before the end of the calendar year. And finally, in the quarter, we took in another 1 million sample tranche from the large pharma company we had mentioned on our previous call. Our momentum continues to build, and we are seeing more momentum behind the outsourcing of these large and valuable collections of samples, which are only increasing in value to our customers but have become unwieldy because of the size and complexity, a perfect spot for us to apply our core skills to sustain and add value to these collections. In the Life Sciences products segment, business remains robust. Revenue was up 60% year-over-year, but down modestly from Q2 as we experienced some decrease in consumables revenue quarter-to-quarter as COVID testing has slowed. As we've mentioned to you, the COVID-related demand has been a tailwind for Life Sciences products but it's also been difficult to predict. We still maintain that the boost to our consumables and instruments business will net out to be a positive long-term impact. The acceleration of automation and laboratory workflows, as well as a worldwide shortage of consumables and instruments that was driven by high-volume testing was the catalyst for us to have many new customer's, customers we believe we can maintain post-COVID. We believe our premise still holds, but even in this environment, our long-term position has strengthened, because in the quarter, we added more than 50 new consumables and instruments customers. And thus far, we've retained more than 80% of new COVID customers who continue to buy from us even as the availability of supply of consumables has improved worldwide. We'll continue to monitor this closely, but we believe that our service levels and quality of product will be the reasons these customers will remain. In stores, we saw strong momentum across the product lines, including large automated stores, cryogenic stores and clinical stores. We saw strong demand for our BioStore Cryo systems, continuing the pattern of adoption of this critical technology for use in cell and gene therapy. To date, 38 different customers have now purchased multiple BioStore III Cryo units and we're beginning to feel the momentum building for this innovative and enabling technology. Q3 was another period of validation that our products business is exactly on target for the Life Sciences Sample Management market requirements. We'll remain vigilant as to the vagaries of the COVID-19 related market segment, but we're pushing forward with full confidence that our products are necessary in enabling across the life sciences field and not simply a COVID phenomenon. As a life sciences company, we're at a meaningful juncture as we take the next step in our journey. We're ready to not only stand as an independent company, but a company capable to grow and invest to meet the needs of a market and customer base that needs us to grow. Specifically, across our services portfolio, we're landing larger commitments from larger customers. This is not only a testament to the capability we've proven over the years to be a dependable supplier of extremely high-quality services, but also the fact that we've earned the right to be able to serve large volume needs of the world's most demanding pharma and biopharma companies. In our Life Science products segment, we've always had a high market share of automated stores at large customers. But now because of the rapid increase in cell and gene therapy applications, our innovative cryogenic product offerings are quickly gaining traction with companies that incorporate our solutions into their designated workflows and securely embed them into their standard operating procedures. This is a critical role, for which we are now completely ready. We're proving ourselves to be up to these responsibilities and challenges, and we're making the most of this position. We're energized by the feeling that we are in the earliest days of this exciting opportunity to add tremendous value to this market. I'll now move to the Semiconductor business, where we delivered another record quarter with revenue of $186 million, up 43% organically from one year ago and 47% overall, including a contribution from precise automation, which we acquired partway into the quarter. Overall, the semiconductor market continues to be robust with bullish near-term and medium range projections. This demand goes far beyond making up for a chip shortage in the automotive space, but is driven by myriad new applications that are driving a new level of demand that will not be completely satisfied by a one-year boost of capacity but rather will be met both by the acceleration of new capacity at the leading edge and by capacity additions in existing and mature technology nodes. There are numerous positive indicators of a healthy semiconductor environment. Each of the top three capital spending chip companies have declared extraordinarily high levels of capital expansion over multiple years. We had another standout bookings quarter with $250 million in new orders. Demand forecasts continue to remain solid with the larger OEMs scrutinizing their supply chains for the ability to ramp for the foreseeable future, and we foresee more continued expansion in the memory market, including DRAM, which will add even more growth to this environment. And although the market is very strong, we will continue to extend our leadership position by aggressively investing in the future. Our market presence and penetration continue at a torrid pace, supported by our high level of design activity, aggressive hiring across engineering and technology areas as well as significant additions to our manufacturing capacity. In the quarter, we had another 50 design wins, equivalent to the elevated pace we experienced in Q2, expanding our footprint not only with existing customers, but with new customers as well. This accelerated demand for front-end semiconductor capital equipment, combined with our significant market position, lifted our automation business by 13% sequentially and 47% year-over-year. I'd like to make a special note that, included in this number is the contribution from wafer-handling robots, products sold directly to equipment to OEMs, which was up 73% year-over-year, a validation of our continued share gains with OEMs. And the Contamination Control Solutions business continues to strengthen. Revenue at $51 million was up 36% sequentially and 46% year-over-year, further emphasizing the pervasiveness of this technology, which has truly become a necessary capability in all manner of semiconductor manufacturing. It's important to note that this has also not plateaued in terms of adoption as, in Q3, we added 13 new design wins in the quarter. And five of those design wins were for new customers. And finally, we are rapidly assimilating the precise automation team and getting ramped on the promise for this exciting new growth vector. We've already doubled the size of the technical team, to allow us to more quickly realize some of the ambitions for multi-market applications that take advantage of collaborative robot capability in high value-added systems. And we've begun to bring the precise robot manufacturing in-house, leveraging our operational capability, while alleviating some of the manufacturing bottlenecks they had experienced. Before we wrap-up, I want to take a moment to comment on the current supply chain dynamics, as we see them. You've been hearing a lot about challenges in the supply chain, which are expected to continue for the foreseeable future. To-date, our strong partnership with suppliers and customers has enabled us to proactively mitigate many risks and increase factory shipments. As we look forward, we will continue to apply our risk mitigation strategies with a heightened focus on delivering for our customers. We remain diligent as the supply chain environment is dynamic, and our ability to largely mitigate these headwinds could be impacted. Overall, the semiconductor automation market remains strong and vibrant. By all of our indicators, we are strengthening our position in advancing our technologies to be in front of what is necessary for the continued expansion of this market. Our relationships with our customers are closer and more interdependent, which leads to a shared end point and unprecedented collaboration and trust. We are keen to expand our methods, business model and our technical expertise into other market sectors that will benefit from the same types of engagement and innovation in the collaborative workflow space. And you'll hear more about this, in the near future. To conclude, our strategic direction for each of the businesses is clear. Our investments are consistent with these roadmaps. Our profitability continues to outpace our revenue growth. And our balance sheet is clean and healthy. All of these elements make us confident in each of the businesses and our ability to allow each to stand as independent companies. I want to thank all of the Brooks' employees, whose hard work makes all of this possible. The entire team is working full steam ahead to complete the separation, which we continue to expect to be complete by the end of the calendar year. And we thank you for your continued interest and support of Brooks. And we hope to maintain your trust and interest in the next configuration of this powerful capability. I'll now turn the call over to, Lindon.
Lindon Robertson: Thank you, Steve. I now refer you back to the slide deck available on our website. Turning to Slide 3, I want to reiterate for everyone that we will continue to reflect the total company results as you are accustomed to seeing them until the separation culminates, which we still expect to occur by the end of the calendar year. The third quarter was another record quarter for us on the top and bottom-line, with revenue of $315 million and 43% year-over-year growth and non-GAAP earnings per share of $0.72. Both sides of the business continued to show strong growth and profitability. Cash flow from operations was $45 million in the quarter and $175 million over the past 12 months. And on a trailing 12-month basis, we are now at $1.1 billion and $2.27 of non-GAAP earnings per share. Moving on to Slide 4. Let's get into the details. Revenue was up 10% sequentially and 43% year-over-year, resulting in GAAP earnings per share from continuing operations of $0.53, up $0.34 year-over-year and up $0.20 quarter-over-quarter. Operating margins were up 530 basis points sequentially. The gross margin of 45.8% shows a 140 basis point improvement Recall, in the prior quarter, we recognized a $5 million increased liability for tariffs due to a change in estimate for the value of past intercompany imports. In the operating expense section, SG&A was down quarter-over-quarter, primarily due to a lower spending with advisers and legal support in the preparation for the separation of the company. This spending remains at $6 million in this third fiscal quarter. All in, the GAAP earnings per share was $0.53 for the quarter, up 184% year-over-year. Let's look to the right side for the non-GAAP results. Gross margins were 46.9%, expanding 340 basis points year-over-year, driven by Life Sciences, up 540 basis points and semi, up 200 basis points year-over-year. The revenue growth and gross margin expansion drove operating income upward 127%. Operating margin was 21.5%, up 790 basis points year-over-year. And adjusted EBITDA margin was 24.8%, up 650 basis points. Below operating income, the non-GAAP tax rate in the quarter was 18.9%. When you combine it all, we saw 127% growth in the non-GAAP earnings per share, demonstrating the profit leverage and strengthen the business model underlying both businesses. Now please turn to page 5 for the results in our Life Sciences business. In the third quarter, our Life Sciences business generated revenue of $129 million, an increase of 38% year-over-year and flat on a sequential basis. The COVID-related revenue in this quarter was again primarily in the products business, which delivered an estimated $9 million of COVID-related orders in consumables and instruments. This was approximately $5 million less than the second quarter. The total Life Science business offset the softness with sequential expansion in the services segment and with strength in store systems within the products business. The products business in total was $49 million and grew a meaningful 60% year-over-year. The increase was driven with 67% growth in consumables and instruments and strong growth across the other product areas. As mentioned, the C&I business continued to see the benefit from COVID-related demand but at a lower level as compared to the second quarter. We continue to see COVID-related research orders but fewer orders for tubes used in COVID testing. Except for the softer COVID-related demand in consumables and instruments, the products business expanded sequentially with strength in systems. The total product revenue, excluding the benefit of COVID revenue this quarter, provided 30% year-over-year growth. The Life Science Services revenue was $80 million, which was growth of 4% sequentially. And when excluding the impact of unwinding the alliance, grew 43% year-over-year. This business is comprised of our GENEWIZ genomic services business and our Sample Repository Solutions offerings. The genomic services business grew 56% year-over-year and accelerated 7% quarter-over-quarter. Q3 of last year was our most severely impacted quarter from COVID for the GENEWIZ business primarily in the Sanger business. Excluding our estimate of last year's COVID impact, the business still grew an impressive 26%. Growth was driven by NGS and synthesis, as well as strength in Sanger and our other services business. Excluding the alliance revenue stream, Sample Repository Solutions also reported strong growth of 21% year-over-year. The growth was primarily due to sample storage and logistics. Moving on to gross margin, total of Life Sciences was 50% for the quarter, up 540 basis points year-over-year. Approximately half of this gross margin is driven by performance improvements in the current business operations and approximately half was driven by the exit of the lower-margin alliance contract with RUCDR in the fourth quarter of 2020. The Life Sciences products business gross margin was 47.5%, a 300 basis point improvement year-over-year, driven primarily by the strength and volume of our consumables and instruments and margin improvement in our automated cryo stores business. The Life Sciences services business provided 51.5% gross margin in the quarter, up 680 basis points year-over-year. Approximately 250 basis points of this improvement were driven by the performance of our current business streams and the remaining 430 basis points driven by the exit of the alliance contract. In total, the Q3 operating margin of 17.8% expanded 10.7 percentage points over last year's results. On the last 12-month basis, adjusted EBITDA margin climbed to 24%. As we look into our fourth quarter of 2021, we expect Life Sciences revenue to be in the range of $127 million to $137 million. This range supports approximately 17% to 27% growth year-over-year. Let's turn to the Semiconductor business on Slide 6. Semiconductor Solutions revenue of $186 million in the quarter increased 47% compared to the third quarter of 2020 and was up 19% sequentially with strong performance across the portfolio. Automation products grew 47% year-over-year. Precise Automation, our new collaborative automation product line acquired in April, provided $3 million of this revenue. Excluding this revenue from Precise Automation, the segment growth was 43%. While all areas of the automation product group provided strong growth, the group was led by vacuum automation, including robots and systems with 71% growth year-over-year. Revenue in our Contamination Control Solutions business increased to a record $51 million in the quarter. And an impressive 46% year-over-year performance and was up $13 million or 36% sequentially. The strength in the business was supported with high year-over-year growth in both of the product sets, wafer carrier cleaners and reticle stockers. This business has produced $150 million in revenue on a trailing 12-month basis. Semiconductor operating margins were 24.1%, up 560 basis points year-over-year and up 280 basis points sequentially. Gross margins were strong at 44.7%, up 200 basis points year-over-year and up 30 basis points sequentially driven by leverage and cost improvement across all business lines. The precise automation product line provided modest accretion to the gross margin line with gross margins higher than our average gross margin. I can also confirm precise automation was accretive to bottom line earnings on a GAAP and non-GAAP basis in the quarter. The last 12-month metrics on the right show strong comparative performance and significant profit leverage with 29% top line growth and 70% adjusted EBITDA growth. The momentum in the business also becomes clear as you can assess the current quarter run rate exceed $700 million on an annual basis and continues to drive a higher accumulated adjusted EBITDA margin. As we look toward our fourth and final fiscal quarter of 2021, we expect semiconductor revenue to be in the range of $201 million to $211 million. This guidance reflects another expansion of $15 million to $25 million sequentially and supports year-over-year growth of 46% to 53%. Let's turn over to Slide 7 for the summary of cash flow for the quarter. Operating cash flow in the third quarter was $45 million. Over the past year, we have generated operating cash flow of $175 million. Capital expenditures for this quarter totaled $9 million, including $2 million for the GENEWIZ China building project. As an update to the building project, the COVID environment has caused logistical delays at various times across the past year and have accumulated now to a point to shift our estimated completion date to the first calendar quarter of 2022 and to be transitioned operationally by June of 2022. Delays will not cause operational disruptions as we have secured appropriate extensions on the current lease sites. After providing $7 million of dividends back to shareholders in the quarter, we closed with $286 million of total cash, including approximately $50 million of debt and $236 million of net cash. Let's turn over to Slide 8 for a quick view of the balance sheet. As just noted, at the end of the third quarter, we had $286 million of cash, restricted cash and marketable securities. We added $83 million to goodwill and intangibles in the quarter driven by M&A. It is notable that inventory increased $27 million and payables $20 million with it. Like many, we have made aggressive moves to secure inventory where we are foreseeing long lead times or industry shortages to support our ability to meet the continued growing demand for our products and services. Our supply chain management has a sharp competitive edge and managed this well for us with a variety of thoughtful actions. With debt stable at $50 million, we finished the quarter with $236 million of net cash. Let's turn to Slide 9 for our guidance on the fourth fiscal quarter of 2021. Revenue is expected to be in the range of $328 million to $348 million with a year-to-year growth in the 33% to 41% range. Semiconductor revenue, expected to range between $201 million to $211 million and Life Sciences revenue is expected to be $127 million to $137 million. Adjusted EBITDA is anticipated to be $79 million to $89 million, non-GAAP earnings per share is expected to be $0.71 to $0.81 per share, and the GAAP earnings per share is expected to be $0.50 to $0.60. For the full year, we expect capital expenditures of approximately $60 million and our non-GAAP tax rate to be in the range of 20% to 22%. Finally, as an update, we continue to make progress in our work to separate into two independent companies. All functions in our business are working towards this objective, and all plans are on track to complete the separation by the end of the calendar year. As you can see from the performance picture, both businesses are performing with high growth and have significant profit leverage as the topline progresses. Each business will launch with a strong balance sheet, affording ample capacity to pursue their additional growth vectors. When we have a more clear line of sight to the separation date, we will announce an Investor Day event. This concludes our prepared remarks. I will now turn the call back over to the operator to take your questions.
Operator:  First question is from David Saxon with Needham. Please go ahead.
David Saxon: Hi Steve and Lindon. Thanks so much for taking our questions and congrats on the quarter. I guess I'll start with the Life Sciences business. I mean a question I get a lot is just around this COVID-driven demand, particularly in the products category and kind of how quickly and how much that tails off. So, I know it's probably a hard question to answer, but can you just talk through about how you're thinking about that? And then relative to the fourth quarter guidance, total life science could be down. Is that kind of more about this COVID-related demand falling off quicker than maybe what you're seeing currently? And then I have a follow-up.
Stephen Schwartz: Okay. Hi, David, it's Steve. So, thanks for the question. I think you had it right in terms of the dynamics that took place between Q2 and Q3. We had approximately $5 million out of $14 million that was COVID consumables and instruments related, and it's really tough for us from a visibility standpoint. But in all other aspects of the business, we saw growth. We saw it in all of the services portions of the business and on the remainder of the product side. So, from that standpoint, also the guide that we have going forward, if there's anything that's down quarter-on-quarter, if we did come in at the lower end, it would be related to the consumables and instruments because we think we have a pretty good bead on everything else. And it would certainly be because of COVID demand. But business feels healthy. All the services, all the other portions of the product line continue to grow. We're really pleased by that. And yes, I think you can sense from us a little bit of uncertainty, nothing that we can envision that, but just the fact that we went through that from Q2 to Q3, I think it's good just to be a little bit cautious there. But we anticipate at this moment sustaining kind of the levels that we have right now for the consumables and instruments quarter-to-quarter.
David Saxon: And then I guess my second question is just on CCS. I mean, it's really nice to see that kind of return to growth. I think last quarter, you kind of called out $45 million as base. So, just wondering kind of what's driving that demand. And should we kind of expect sequential growth in that category? And thanks so much for taking the questions.
Stephen Schwartz: Sure. So, the CCS business is as healthy as you said. We have enough capacity that when customers need us to accelerate something, we've been able to satisfy and at this moment, yes, we anticipate sequential growth in the fourth quarter in the CCS business.
Operator:  Next question is from Paul Knight with KeyBanc Capital Markets. Please go ahead.
Unidentified Analyst: Mike on for Paul. Just a quick question on the GENEWIZ China delay. I mean where are you guys at with capacity now with GENEWIZ? And the delay until 2022, does that impact growth at all looking forward into 2022? I know I'm trying to get guidance on 2022, but just your thoughts on the delay of the GENEWIZ facility?
Stephen Schwartz: No, it's really manageable for us. As we've described, the current lease buildings are good size, and we've gained productivity. So we - of course, we manage with some buffer in these things, and we have the flexible leasing partners that we dealt with there and been able to extend those sites. So we're equally excited, as we always have been, in terms of what the project looks like. I'll share with you that we're moving into the fit-up stages here. And we see what the outside of the building is looking like from the street view. Everything is looking good. I think the employees and the company they're getting very excited about what's about to come. But the COVID issues are real in the environment there, and we've had periods just delays. Early on, it was a little bit about labor moving from one province to another or them being able to sustain people on site. We had that cushion built in. We've had other delays, sometimes on materials. And just as it accumulated, it moved from the final calendar quarter completion and move into a first calendar quarter completion. And the move-in will occur between then and the month of June. And I think we're in really solid shape operationally. So we're not concerned about constraints.
Unidentified Analyst: And Steve, just on the vaccine contract with the federal government, can you kind of unpack that a little bit more? I mean, I know you did some work with Catalent, helping Moderna for their vaccine storage and logistics. But maybe a little bit deeper. Is this a new opportunity for you guys to kind of expand this into also a commercial customer base as well?
Stephen Schwartz: Yes, it is. It's different from COVID, certainly unrelated, and it's something that has been in motion for quite some time. We have the ability to manage the logistics and the care vaccines that need to be cold and then ultimately get them distributed. This happens to be for service. So it's a pretty significant program. It will run a long time. And it's got just the kind of complexity and care that we're prepared for, and we've been geared up for this for quite some time.
Operator: Next question is from Patrick Ho with Stifel. Please go ahead.
Patrick Ho: Thank you very much. Steve, maybe first on the semiconductor side of things. based on your results and your outlook, it looks like you managed the industry supply constraints very well. One, maybe if you can just qualitatively give a little more color on the situation for you guys because I'm sure you're experiencing some challenges. And then maybe secondly, what are you doing on your end to mitigate the situation as best as possible? Because during this earnings season, we've seen mixed results in terms of some companies managing it well and some companies, I guess, poorly managing it. So, I'm just trying to get a little bit of color on your end given the strong results and outlook.
Stephen Schwartz: Yes. Thanks, Patrick. Patrick, a few things. There are always supply issues even in any environment, but they're particularly acute now, as you're aware and everybody in this industry is aware. Very specifically, when you have thousands of parts, anyone can hold up a manufacturing line. But I think the team has done a great job, and they're geared for it. In terms of managing the environment, getting out in front of supply uses that we could anticipate and doing supplier checks about their - both their capacity and their capability. We have some that are volume-related and some that are related to their ability to operate in a COVID environment. But I think the team has done an exceptional job. And I'll give you a couple of examples. Sometimes when a facility is not capable to provide a part or a subassembly, our teams have gone to qualify additional vendors. And this isn't something that happened over the past month. It's over the past quarter. So that we're usually quite a bit out in front of it, and we've been conveying large demand to our suppliers for some time now, anticipating that the volume ramp was going to be significant. And I think we got that part right, and we've geared our suppliers up for it. On the chip shortage, those exist, too. And as an example when we talk about the relationship we have with our customers and with our suppliers, we've had to go to alternate sources of chips, if you will, redesigned boards to get an equivalent functionality, and that's not something that is done lightly. But when we work with the supplier and we go to the customer, who are - they're also acutely aware of the situation, they trust the design engineers. They validate the capability that we've brought. And we've had instances now where we've overcome some of the chip shortages with - by respinning boards and doing that kind of design work. So if we didn't have the relationship with the customers who could entrust the engineering teams, likely they would have been reluctant to switch on the - some of the subassemblies and subcomponents, bearings and things like that and some of the electronics designs, but I think they've helped us to navigate that. Our teams have jumped on it, and we've been ready. It doesn't mean that we couldn't bump into something. But anything that we could imagine or anything that we can see, I think we've been out in front of, and I guarantee there's no resting here. So we're sensitive about anything that might happen, but I give the supply chain team a lot of credit. And I think everybody went up on high alert in the earliest days of COVID, I think, as you remember, and we just never let up, from March of 2020 today. So we're on it. We're uncomfortable about it, but we're really sensitive to the kinds of things that ought to be done. I think we're managing it really well.
Patrick Ho: Great. That's really helpful. And as my follow-up question, I apologize I missed some of your initial remarks on the Life Sciences business. But given a lot of the fluidity and the moving parts right now with hope and, can you characterize, maybe pick up near term on COVID-related type of business? Or are some of your traditional kind of research and analysis business coming back, both on the products and services side?
Stephen Schwartz: Yes. Sure, Patrick. So, on the services side, the researchers who moved the focus of their activity toward COVID continued to use us. So we really believe that the shift towards COVID, toward the treatment, toward the vaccine - and as researchers go back to their other activity, we think that business will sustain, and we've seen it in the - just in the steady growth of the services business. And so, we feel pretty confident that's the situation. If you weren't on for some of the comments, we did have a $5 million reduction in some of the consumables and instruments related to COVID especially on the consumables side, from the - from Q2 to Q3. And the services business propped it up. The rest of the products business has continued their momentum, but we did take about a $5 million reduction quarter-on-quarter sequentially as a result of COVID consumables.
Lindon Robertson: Patrick, I'll add. We provide a couple of data points and I think everybody probably interested in these, so I'll just reiterate them. On the - if you think about the impacts in 2020 versus 2021, 2020, we were dealing more with the impact of customers being absent and the lockdown. And what we shared was that in this quarter, when you look back at last year, GENEWIZ had a little easier compare this year, they're on a nice ramp this year sequentially and year-over-year. But the significant growth, if I was to take the impact that we discussed last year out of the quarter. In other words, raised the number last year without any COVID downside last year, we estimate that business grew about 26%. And so we're really pleased with the trajectory and the continued build on the customer base this year. And we highlighted earlier that Sangers had another record level and is showing 10% growth. So it's really solid. On the product side, as Steve alluded, that slowdown in consumables still has about $9 million of what we see as COVID demand in this quarter that we delivered. And if you take that out, that total products business still grew about 30% year-over-year. So again, we're seeing really strong growth on both sides. If you try to normalize what was hurting us last year, what was benefiting us this year, and those are the two primary. We had other puts and takes. As someone referenced, we are doing some vaccine management, but those are more modest impacts around the business edges, but the most severe was the lack of some of the academics and customers in place last year at this time and then, this year, the positives on the product side. So those are the 2 biggest normalizing factors.
Operator: Next question is from Jacob Johnson with Stephens. Your line is open.
Jacob Johnson: Good afternoon everybody. Just to start off and sticking with kind of the COVID questioning. Lindon, on the $127 million to $137 million of Life Sciences revenues you're guiding to in the fourth quarter, should we expect the composition of the fourth quarter to kind of look like the third quarter, meaning strength in GENEWIZ and SRS and maybe a little bit weaker, Life Sciences products revenues in the fourth quarter? And if you can or want to, can you just talk about kind of the COVID assumptions that are embedded in the fourth quarter guidance?
Stephen Schwartz: Yes. And not to pin me down on line-by-line guidance here, but I'll give you that color. We see momentum on both products and services that could support expansion on both products and services at the midpoint and up to the upper end. And - but in the down - on the downside, if we're not expanding, and I want to emphasize midpoint showing expansion sequentially and significant growth year-over-year, right, in the entire range. But if we're at the lower end, it just - it probably accounts for a little bit of softness in the consumables. Again, we're uncertain on that. And I keep a little cushion in there, because, as everybody recognizes, certain geographies are facing COVID spikes currently. And sometimes that constrains us from accomplishing certain projects with customer installs and things. But both products as well as services has the potential to be expanding on a sequential basis. And that's connected to demand that we expect. If we're not fulfilling it in this quarter, we're fulfilling it eventually. So it's strength for us.
Jacob Johnson: Got it. Super helpful. Thanks for that, Lindon. And then, for Steve or Lindon. Just on the SRS side, you had a large pharma win earlier this year. It sounds like you had a couple more wins this quarter. So when we think about the growth of the SRS business, is it being driven more by growing samples under management? Or are you also finding ways to kind of increase your revenue per sample, I guess, thinking about things like the synergies with GENEWIZ?
Stephen Schwartz: Yes. Right now, Jacob, it's both. So mostly, what you see right now is mostly samples under management, getting them registered and increasing the size of the collection. But at the same time, the synergies are beginning to develop, but it's still small compared to the growth in the samples. But the right kinds of initiatives are in place, and I think the sales teams and the customers are really beginning to understand it. But it's modest yet, but the right things are happening.
Operator: Next question is from Amanda Scarnati with Citi. Please, go ahead.
Amanda Scarnati: The first question I have is on the non-COVID-related business with your consumable instruments companies. You mentioned that some of your COVID-related customers have been purchasing more even as the supply chain is loosening up. Are they starting to purchase non-COVID related products? Or is it still really just in that COVID footprint?
Lindon Robertson: Yes. I'll comment. One of the colors that we added to this is, we added 50 customers in the quarter in the consumable space. And we also continue to deliver to some of those customers on other opportunities aside from COVID. So when there is supply shortfalls, you're able to delight some customers with supply and they get the first experience with you and they like it. So we do have retention efforts with those customers. What we do see is some of the COVID demand itself has come down. But Amanda, let me know if I address your question, but we're seeing our opportunities here and now and our ability to meet these demands and be a reliable supplier, but I think we've done a good job with that, and we see opportunities present themselves.
Stephen Schwartz: And Amanda, this is Steve. I'll put one more thing on top. The thing we are seeing is that, as we mentioned, as lines become more automated, the instruments, the automation instruments are staying at a relatively elevated level compared to where we were pre COVID. So even if some of the consumables are down, when lines are being constructed for any lab work, it seems that the instruments business continues to stay at a very healthy level.
Amanda Scarnati: And then just on the semiconductor side, can you just talk a little bit, put a little finer point on sort of your supply side of things? Are you able to ship to full demand at this point? Are you seeing any issues in meeting demand? Or any changes there in the dynamics on the demand side?
Stephen Schwartz: Right now, we're meeting all the customer demand, and we're in regular conversations because they want to know are we able to satisfy. So I won't tell you that it's - Amanda, I won't tell you that it's easy. It's been quite a ramp. But we've been way ahead of the hiring and training. We manage the supply base, I think, particularly well. If we had more free flowing parts, we could probably continue to build a little bit more. But right now, we're on a really good path satisfying customers. It hasn't been easy for sure, but we think we have the supply chain managed really well. And certainly, we have the capacity to meet the ramp that's coming, and we're trained and ready, and facilities have been rearranged. And we continue to see really strong demand, and we believe we're prepared to meet it.
Operator: We have nothing further from the phones. I'll turn it back to our presenters.
Stephen Schwartz: All right. We appreciate everyone's attention and support. These are high momentum days for us where the team around the world has been really responsive to our customer needs and our customers have been responding to our ability and capabilities of the business, which we can't be more proud of. But we really appreciate the investor table here and the attention and support you all provide. We look forward to delivering on the fourth fiscal quarter, which is the end of our fiscal year, September 30. And we will also keep you up to date on the outlook going forward. on a potential Investor Day as we see line of sight to the effective separation of the company, which we're very excited about launching two strong companies, the semiconductor, the automation company, and also, of course, the new life sciences company. So with that, thank you very much. I hope you have a good evening.
Operator: That does conclude our call for today. We thank everyone for participating, and you may now disconnect.